Operator: Good day and welcome to CynergisTek's Third Quarter 2021 Earnings Call. Today's call is being recorded. And I'd now like to turn the conference over to Bryan Flynn. Please go ahead sir.
Bryan Flynn: Welcome to CynergisTek's 2021 third quarter earnings conference call. For those who don't know, my name is Bryan Flynn, the Vice President of Investor Relations for the company. It is good to be back with CynergisTek and I look forward to reengaging with all of our investors in the coming weeks. Joining us today from the company are Mac McMillan, President and Chief Executive Officer; and Paul Anthony, Chief Financial Officer. Before we begin the formal presentation, I'd like to remind everyone that some statements made on the call and webcast including those regarding future financial results and industry prospects, among others, are forward-looking. These forward-looking statements can be identified by the use of forward-looking terminology such as believes, expects, anticipates, would, could, intends, may, will or similar expressions and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in today's conference. Certain of these risks and uncertainties are or will be described in greater detail in the company's SEC filings. Given the risks and uncertainties, listeners should not place undue reliance on any forward-looking statement and should recognize that the statements are predictions of future results, which may not occur as anticipated. CynergisTek is under no obligation and expressly disclaims any such obligation to update or alter its forward-looking statements, whether as a result of new information, future events, or otherwise. At this time, I'd like to turn the call over to Mac McMillan, our CEO.
Michael McMillan: Thank you, Bryan. It's nice to be able to say that again and I'm sure investor community are also glad to know you're back as well. Welcome everyone to our Q3 earnings call. It has only been a short time since we spoke last at our Annual Shareholders Meeting which was held a little later than usual this year. Many of you were not able to make that meeting, so today, I will cover both a summary of that discussion, with updates along with some more recent developments. Thank you again for joining us on our call this afternoon and evening. This marks four months since I returned to CEO and a lot has occurred. We have made quite a few changes. We are very excited about where we're headed. The team is adjusting and starting to show results and while I realize we still have a ways to go, I can't wait to get to next year. Since my return, we have been focusing in four key areas; first, supporting sales and getting fully staffed, enabled, and aligned to effectively engage with market opportunities. Second, expanding the mission of the delivery organization to go beyond project delivery and into driving new and expanded business. Third, reassessing and prioritizing those competencies needed to support growth of the business. And fourth, revisiting our long-term strategy. This is incredibly important because we have to know where we're headed. What is the priority? Weed out those things that are not creating value or contributing to growth, and make sure everyone involved is committed to winning. You noticed I did not say on board because I'm not just limiting those that to those who work directly for the company, but everyone involved to include our investors. Several of you have pitched and pitched in to assist. I want to let you know that I greatly appreciate that. Support for sales has been a hands-on experience, engaging with each rep on deal strategies, participating in client meetings, and sharing successful strategies for selling to this new -- to help this new team get grounded, get moving, and focused on closing bigger deals. We have re-emphasized the three main core elements of organic growth in sales; adding new customers, maintaining strong renewal rates, and penetration and expansion of services into existing clients. We have re-emphasized our fourth pillar of growth, prioritizing multiyear managed services as well. This quarter we saw improvements in each of these areas. We also reorganized the sales team de-emphasizing dedicated service focused sales and reemphasizing, selling our complete portfolio of services broadly across all regions. Part of that reorganization was focused on providing opportunities for newer reps to be mentored by more experienced reps and to improve client experience by ensuring better continuity. We are re-emphasizing the health care core business, revitalizing our partner and managed services programs, leveraging our new strategic partnerships and enhanced services to grow inside and outside of healthcare and ensuring that our investment in early mover status with CMMC in the government space translates to successes. Early results of these efforts have resulted in a pipeline growth that now includes opportunities across all of our business lines. In Q3, we saw 76% increase in opportunities created totaling over $20 million compared to the previous four quarter average. Over a third of these were non healthcare and adjacent market opportunities. We also closed 56 deals in Q3, a 24% increase from the previous four quarter average. Bookings came in in a little more than $4.4 million, which was below our target. So, clearly, we still have work to do. But we're seeing things turn around and we're staying focused on execution and growth. We have begun aligning our marketing efforts more closely with our sales focused to optimize pipeline generation and ensure that our enhanced services and the messaging around resiliency are being effectively communicated. Building resiliency has always been at the core CynergisTek's ethos, and having the market evolve in this direction is very natural for us. As reported in our annual report, 64% of healthcare organizations are below a passing grade and security. Many often falling behind are victim to cyber-attacks. Many not as prepared as they should be for lacking the resiliency to bounce back to normal operations quickly and efficiently. In health care, this has become particularly concerning because the cost is not just financial as identified in the latest 20 minus -- study of over 300 healthcare executives. That group said ransomware attacks have been especially impactful, leading to extended stays in the hospital, delayed procedures, and poor outcomes, increases in patient transfers and diversions, increased complications from medical procedures, and most alarmingly, an increase in mortality rates. Those who score higher in our annual report, mostly our multiyear clients have benefited from the work we've done with them to ensure that they are focused on preparedness, rehearsed, and are continuously validating that their people, processes, and technology are working effectively as expected. And while they are not immune to attacks or incidents, they tend to fare better than the their peers who are not. That is how you build resiliency, but protections and muscle memory that allow organizations to react in a timely and effective manner, to mitigate whatever the risk situation is that's thrown at them. This has never been more important as the industry is now realizing the dramatic impact that ransomware alone is having, but is beginning to articulate that fact out loud as the 21 report test. Everyone should know by now that is not about whether you will be attacked or even whether an attacker will find a way in, it is about what you have done to make yourself less of a target or victim and how ready you will be when that happens. That is what resilience is the ability to anticipate, withstand, recover from, and adapt to adverse conditions, stresses, attacks, or compromises on systems that rely on cyber resources. In short, it's the ability to meet cyber incidents head on and prevail operationally. We have met with and spoken to many of our clients as well as some new organizations who have told us that they like this evolved focus on resiliency, and believe it is the direction all of us need to go in. The mission is simple. How do we make the business stronger, safer, and more resilient when faced with a constant threat? I'd like to share some recent sales highlights and accomplishments that demonstrate some of our early successes. First off, we added multiple new logos in Q3, new clients, 17 to be exact, our best quarter yet this year. These logos come from a very diverse set of organizations, representing healthcare, technology, financial, insurance, hospitality, and other business sectors and we're a combination of both managed services as well as consulting contracts. In August, we rolled out a newly revised partner program with its emphasis on resilience. We call it the Resilience Partner Program or RPP and by quarter end, we had already added six new RPP multiyear clients, four in health care and two in adjacent markets. This program is the successor to the Cap, our previous Capstone Managed Service and provides a wider array of services, strategic partner contributions, and greater flexibility in design and scheduling that clients can take advantage of to create the right level of support for their unique program. This along with our training and renewed emphasis on partner relationships, I believe contributed to our renewal rate for existing managed service clients climbing back over 80% in Q3. On the consulting services side, we also reported some recent growth in our technical testing, certification, and privacy services and have already seen over 200% growth in the in the number of these contracts in both our healthcare and adjacent market sectors year-over-year. This was partially attributable to an increase and diversity in services offered and enhancements to our testing programs, such as continuous adversary detection. These are areas that have traditionally lagged behind mainstream managed cybersecurity services and we're trying to change that with our new approach and focus on resilience. Our government sector business was also very active this quarter despite continued delays by DOD. First off, we added one division of a Fortune 100 Company, a real giant in the tech world to be their assessor for CMMC. This is just the first of many divisions owned by this company that are doing business with the DOD and that we hope to able to do work with. We added nine other new CMMC deals, bringing our total to 12 for the quarter and added more opportunities to the pipeline that continues to grow. We even saw CMMC opportunities within healthcare institutions, which provide care under various DOD related programs starting to appear. We had two wins in this category in Q3. I want to stop here briefly and address a question that I'm sure all of you have about CMMC given the guidance that was issued last week by the DOD. Initiatives by the federal government can and often are delayed, or go through multiple changes prior to official approval and implementation. You may have seen the announcement by DOD regarding the changes to CMMC program that essentially reduced the categories of CMMC certification from five to three and brief Level One is now permitted to self-assess, and some percentage of Level Two will also self-assess. Nothing has been released regarding Level Three yet, although it is expected these organizations will have to be assessed by the DOD through the Dip Cap. While we don't know exactly what this will translate to, we know there will be less assessment work overall. From early communications with prospects and customers, we've heard that most field, they will still require an independent assessment based on the work they do for the DOD. What this could mean for all of us potentially is a very different opportunity moving forward, meaning we would expect more opportunity in the gap analysis remediation stages and fewer certifications. We expect delays in Q4 and early 2022 as the DOD works through this process. Both the DOD and the CMMC AB in their public addresses have reassured everyone that the program is going forward, but there will be changes. Obviously, we will be paying close attention to what is communicated by DOD and determining how this impacts our pursuit of this business going forward. But we fortuitously had already made several decisions to reduce spin on CMMC due to concerns with the delays we were seeing as I returned and the uncertainty in the program. We repurposed all dedicated CMMC operational positions to cross-functional positions to eliminate any unbillable resources. We eliminated the dedicated CMMC sales positions and redirected all territory reps to begin selling CMMC to broaden our reach and in their selling opportunities and we curtailed marketing spend in CMMC-specific events. That said, I do expect that some version of CMMC will continue as the DOD understands all too well it has to attend to its supply chain risk. Even if the final outcome is a voluntary self-assessment model, much like PCI DSS is for the payment card industry, many organizations will still need help. In the short-term, our approach will be to focus on what we do best with regulatory requirements. We will help to educate, provide gap analysis, support remediation efforts, and be prepared to conduct certifications for those who still need or desire it. Right now we have multiple contracts for CMMC support, a pipeline of opportunities, and we are focused on adding more. We are enhancing our strong sales and customer-centric culture through an organizational restructuring of both sales and operations groups focused on ensuring they play a more proactive role in strengthening client engagement and being more effective and communicating client needs and supportive business development and sales. These adjustments give us better visibility and connectivity to the business with managers and sales reps focused on selling and delivering projects. Regional sales and Consulting Directors focused on account management and business leaders focused on driving the business based on what the clients need and the market input. We also address the role that the Executive team plays in building better resilience for the company, providing leadership, and driving business. I believe we have much stronger management team now, with people who know the business, know the market and understand how to better position our services and solutions. We've lost some of our senior health care experience over the last two years. These folks, most of them, shareholders themselves, have moved on to new positions with new organizations. But they remain friends to the company who can and are helping us in multiple ways. Several have offered their support in B2B roles and are contributing; others have literally referred business to us or engaged us directly from their new institution, asking us to provide services to their clients. This is a real testament to the connection they have with CynergisTek and their support. We definitely missed these folks, but their departures also represented an opportunity when thinking about what we would need moving forward, because companies are constantly changing. We knew we needed to replace some of that healthcare expertise and we were pleased to announce the hiring of Tim McMullen as our Chief Operating Officer. He is a long time veteran of leading successful IT service organizations in healthcare and other markets. I won't repeat what was in Tim's bio recently sent out when he joined, but what is exciting is his experience with growing both small and large service organizations. Tim, like myself is already having an impact on sales to his many contacts in the industry. Ben Dankers formerly responsible for Delivery Operations, assumed the senior cyber thought leader position as Chief Innovation Officer responsible for developing new strategies, services, business lines, and strategic partnerships. This is a role that Ben is particularly suited for, as he can evaluate partners and solutions that best fit what we do, or that will align smartly to create opportunity. Together, Tim and Ben, along with Paul, our CFO, will form the nucleus of the leadership team with me as CEO to drive the business toward its goals. You heard me say earlier that Bryan Flynn is back. This is -- Bryan is a very capable, bright and articulate young man with many skills. But chief among them is his ability to analyze a business problem, research effectively and present recommendations that makes sound business sense. He will take on an expanded role in Corporate Development and Investor Relations. Bryan has already hit the ground running, making improvements and, and diving in to make sure things on the investor side are in order. He'll be reaching out to many of you shortly if he hasn't already. We have the Craig-Hallum Conference coming up in a little under a week and both Paul and Bryan will be joining me there. Let's turn now to our last topic, we launched the formal process to update and revise our short and long-term strategic plan, working collaboratively with the Board. Given all the changes that has occurred, the new conditions to the staff, et cetera, I'm actually quite pleased with the progress thus far. Although this is not yet complete, I wanted to provide some early highlights. We believe the need for our core products and services is bigger now than it has ever been and that all markets, but particularly, healthcare are in real need of quality cybersecurity services and products. We know also that is becoming increasingly more complex to balance the needs of the business, the risk from cyber criminals, the increasing costs of regulations, the shortcomings in cyber insurance, and the unplanned incidents that occur. We also know that it takes both services and the right technologies to be successful. And we have seen what great -- what happens when great service companies combined with the right software products that enhance what they do, that greatly increases their value for all stakeholders. So, our strategy will include elements designed to increase organic growth in our services with new sales, expansions, and strong renewals. Our new RPP with its more dynamic design functionality and increased service elements will be a huge contributor to our growth. Enhancing our service offerings with software and tools from strategic partners will allow us to bring innovation to some of our services and increased value -- and increased value for clients. And we will look to increase the number of those strategic partnerships that bring technology or solutions to enhance our services or enable us to create new ones. We are exploring strategic opportunities for merger or acquisition with other cybersecurity service providers and/or software solutions that will represent an increase in revenues or a turnkey service solution opportunity and the possibility of creating our own solution to solve what we see as a hobbling problem in managing risks. Namely that organizations have a fractured view of what their enterprise risk is. This challenge plagues every CISO and CIO who are trying to manage thousands of threats coming at them, the hundreds of security tools that they can choose from to implement, and companies like ours that come in and conduct assessments and tests, leaving them with hundreds of things to remediate. Being able to deliver a consolidated and focused view of the risk an organization faces will improve prioritization of remediation efforts, lower overall risk, better informed security spend, and make them more effective in anticipating and addressing threat, thereby building resilience. Being able to provide first-class service offerings and solutions can increase our value, improve our margins, and create a stronger company. We believe this is a solid, but ambitious direction that enables growth and improves our company value. With that, I'll turn it over to Paul.
Paul Anthony: Thanks Mac. As Mac mentioned, Q3 bookings were $4.4 million compared to $3.8 million last year. Bookings year-to-date totaled $13 million compared to $10.5 million last year. As a result, our pre-sold revenue continues to grow increasing by an additional $0.5 million to $18.4 million. Balance sheet continues to remain strong with $5.1 million in cash, and only $0.3 million in debt after the August forgiveness of the PPP loan. We did take down an additional $1.4 million from our $5 million ATM under our shelf registration, issuing 762,000 shares at an average price of the $1.88 per share, bringing the total raise to three $3.5 million. Given our recent progress towards returning to growth, we have suspended the ATM and are now taking the steps necessary to cancel the equity distribution agreement. We're still waiting on a tax refund from the carry backs and the available losses of 2020 of approximately $1.4 million of timing positions to be determined based on the speed at which the IRS issued refunds. Addressing the Q3 standard financial disclosures, revenue was $3.8 million compared to $4.5 million in Q3 2020. The decrease from prior year was due to lower revenue for managed services, which reduced $0.5 million to $2.2 million due to the impact from COVID-19 pandemic, along with a couple of customers, delaying the start of services to tool selection issues related to one of the third-party applications that we support and we do expect this to be resolved in the next few months. Consulting and professional services revenue decreased $0.2 million to $1.6 million when compared to Q3 2020, due to underperformance in the backbone business unit. Towards the end of Q3 though and the beginning of Q4, we've seen this start to rebound. If not for these unforeseen impacts, we would have expected approximately $500,000 additional revenue for the quarter. But all signs from the increase in bookings and backlog point to improved performance as we enter Q4 and into 2022. Gross margin was 48% for Q3 2021 or an adjusted 35% when excluding the benefit from the employee retention credits. This is comparable to last year. SG&A expenses increased to $3.7 million for Q3 2021 compared to $2.8 million for the same period in 2020. This increase was primarily due to the severance-related costs associated with the departure of our former CEO and an increase in sales, marketing, and travel costs, now that we're back on the road looking to drive growth. This increase was partially offset by the benefit from the employee retention tax credits. Non-GAAP adjusted EBITDA loss was $0.6 million for Q3 2021 compared $0.8 million last year. The full financials and reconciliation of GAAP to non-GAAP can be found in the earnings release that came out today. This concludes the financials in the prepared remarks for Q3. Operator, please open the floor for questions.
Operator: Thank you. [Operator Instructions] And we'll go first Matt Hewitt of Craig-Hallum Capital Group.
Matt Hewitt: Good afternoon, gentlemen. Thank you for providing the update and for all the progress that it sounds like you've undertaken since you came back Mac.
Michael McMillan: Thank you, Matt.
Paul Anthony: Thanks Matt.
Matt Hewitt: A handful of questions here. First up, regarding -- well, regarding some of the priority issues that I think hospitals are likely dealing with right now. And it's more so because of the pandemic. I think everyone is likely acknowledging that they need to address cyber security, but how do they handle that while at the same time dealing with the ebbs and flows of COVID cases or are they being forced to do these in tandem?
Michael McMillan: Normally, Matt I would answer that question, but I'm going to let Paul answer that question today because he was just at a Finance Conference and I think he had an -- there was an interesting session that he sat through that provided a very interesting answer for that question. So, Paul, why don't you answer that?
Paul Anthony: Yes, it specifically relates -- just make sure I answer what you're looking for Matt, but at least from the insurance, what we -- what I heard from the team. Number one, the first thing they're dealing with is the fact that they've suffered, they've struggled to get a renewal process going. But there's been a number of requirements that the insurance carriers have put on the healthcare institutions to even start the process. And most of that's going to be around two-factor authentication type of efforts. And so if they're able to even get the renewal discussion going, what they're looking at is significant increases anywhere between 100% to 300%. And then on top of that they're also looking at increased retention rates, as well and many of them now then are starting to evaluate whether or not they start to self-insure. We had one of the hospitals that I specifically talked to, they had determined that they had gone through a breach recently, which was part of the costs for some of the issues they were dealing with. But what they found was that the losses that they incurred were about three times their previous annual premium. And so as a result -- as they are getting into their planning, they did end up renewing for this next year. But as they're getting into their planning for next year, they have every intention of actively looking at self-insuring as a potential.
Michael McMillan: Yes. So, Matt, it was interesting that that part of what precipitated that discussion was, of course, the question of where does cybersecurity fit in your priority list? And the answer that I thought was really interesting that came out of that and this is from all of the finance folks in healthcare, was that was a cybersecurity was -- it wasn't the number one issue, it was right next to the number one issue at every hospital no matter what their size, or regardless of what they're dealing with. And I think the short answer to your question with respect to how are they balancing that with all the other things that they're doing. It's just one of their priorities. And they recognize that it's not one that they can avoid any longer. And it's one that if they don't address, it exacerbates all the other problems that they're having, or challenges that they're having. And it makes it even harder for them to deal with situations, like a pandemic, or rolling out some new capability, or whatever it is they're trying to do. And security has just -- is just impacted that everybody so pronouncedly that it is a priority for every single one of them.
Matt Hewitt: Got it. Okay. Last quarter, you provided a backlog metric, I think it was $4.7 million last quarter. And I know you gave us the bookings this quarter. Do you have a current backlog that you can provide?
Paul Anthony: Yes, we provide it was $18.5 million.
Matt Hewitt: Okay. I'm sorry, if I missed that. Okay. So, that's a significant jump. Okay. I must add a wrong number I was looking at from before.
Paul Anthony: No, it's not a wrong number, Matt. You're looking at the one that excludes cancellation options. So, you got the -- performance. I'll get you the other number as we're kind of finishing up here.
Matt Hewitt: Okay, got it. And then thank you for the update on the CMMC side. Little frustrating, I'm sure, given the investment and the time that you spent there. And it doesn't sound like it's just you moving the goal line maybe. But on the healthcare side where it sounds like you have reprioritized that business and maybe some of the adjacent markets, I thought it was interesting when you talked about part of your strategic discussion internally is looking at ways to partner or combined with software and/or tools. How critical do you think that is to kind of meeting your expectations from a growth and profile for the company?
Michael McMillan: Well, I think it's really critical because it's critical to what our clients are wanting and needing today, right? I mean, they're dealing with an incredibly complex environment, with a threat that just continues to come at them and as unrelentless. They're dealing with literally scores of security tools or solutions that they are implementing now with very small staffs that they're trying to figure out and they're trying to get trying to connect the dots between what each one of those systems is telling them. And then all of the assessments and other work that they do or that's done for them and all of this is just -- it's just fragmented, right? There's no one place where this all comes together. And one of the things that we're trying to do is use technology that allows us to not necessarily just automate what we do, but take the output from what we do and put it into a format that is easily transferable if you will into a consistent view that maybe, at some point we get to a place where we can actually show them what all of their risk is across the spectrum. And this is what your vendor risk is. This is what's your high priorities from your risk assessment are. This is your -- what your compromised assessment identify it for you. This is what your penetration testing continues to show as your top 10 risks. And this is what your vendor management service is telling you are your top risks with our third parties. So that, that CISO or the CIO that's sitting there trying to manage all this stuff, actually, at some point can actually see it all in a way that enables them to make better decisions in terms of how do I prioritize resources? How do I -- what kind of people do I need to go after and ask for? How do I spend the dollars that I'm getting for security, which are still clearly way behind, right? I mean, if you look at the latest numbers in health care is still hovering somewhere around 5% of their IT budget spent on security while other industries are spending upwards of 15% of their IT budgets. And so it's -- this is -- we're trying to get to a point where we can make everything we do for that client have more meaning and be more connected to everything else that they're trying to look at. So these strategic partnerships, whether it's a tool that we use to integrate into one of our solutions or whether it's just a strategic partner that we work with to be able to combine what they're doing with what we're doing to give the customer a better outcome, I think that's really ultimately what's going to make the difference for any of these customers, not just in health care but in any industry that doesn't have a very -- doesn't have large, sophisticated security organizations that do that kind of work for them that they're relying on their partners to help them with.
Matt Hewitt: Okay. Maybe one last one here, and then I'll hop back into the queue. You've -- I think there is been nine different wins or expansions that have been press released since you came back. And many of those would appear at least from those releases that they're much larger. I mean, you're talking about multiple facilities or hospitals in many cases. Are you seeing deal sizes get larger? I feel like previously, a couple of years ago, it might be one facility and your average deal size might be kind of low to mid-six figures. Has that changed at all given this environment?
Michael McMillan: I don't have the -- I can't really do the comparison for you. I know that from the deals that we were looking at that it just closed just prior to that. Certainly, the deals are getting bigger. And the sales team is becoming more and more comfortable and focused on those long-term larger deals. They are also getting better at going back and penetrating those accounts and increasing the size of those deals. So a lot of those deals originally maybe were the core hospital or the core system. But then they had all these other ancillary facilities and now the team is going back and scooping those up in an addition to that contract which is that expansion. So in fact, we had one of our contracts, not too long ago, actually, the expansion to accommodate their ancillary facilities actually was larger than the core contract. So that was pretty impressive. But yes, the team is absolutely focused on approaching these things from a long-term enterprise level managed service approach. And that just gets you to a bigger contract, gets you to a bigger contract with a longer running room, and it allows you to continue to add services like. I mean, I know just in the last couple of days, a lot of the opportunities or the proposals that, I've seen have been add-ons to an existing CAPP, which is an existing RPP, that's just making those service agreements with those clients that much larger.
Matt Hewitt: That's great.
Paul Anthony: To add a little color to that, Matt, we did take a look at that and we have seen an increase kind of back to around the 2017, 2018 levels because really we had kind of a drop off throughout -- towards the end of 2018 and in 2019 and now we've kind of come back up to where we were back in those other days. And then the comparative number is 16 million at on the backlog.
Matt Hewitt: Okay. Perfect. All right. Thank you so much.
Michael McMillan: Yes. Thank you, Matt.
Operator: And with no other questions in the queue, I will now turn the call back over to Mac McMillan for any closing comments.
Michael McMillan: Thank you, operator. Again, I want to first thank everyone who has reached out and expressed their support for this team and our company. I want to also thank you for the support you show through your continued investment. I want to welcome both Tim and Bryan to the CynergisTek family. I want to reiterate, we have a great company and it has great bones as they say, with incredibly talented staff. We live and work in a time when what we do is critically important to the people we serve. The health care task force has said that health care cybersecurity is in critical condition. With nearly 90% of hospitals reporting major breaches, they're still spending approximately 5% of their IT budgets on cybersecurity, a-third of other industry spend. The average cost of a breach has risen to over $9 million and the cyber insurers are making it harder to get covered, limiting what they will cover and raising rates to the point that organizations are questioning the value of such insurance. All of these factors are building resilience -- all of these factors are making building resilience in an organization that much more important. There aren't enough of us to go around to meet all that need. We have reset our sights on execution and growth and are pursuing the emerging opportunities that are in the market as health care emerges from the pandemic and returns to normal operations. We want to build and deliver services that help our clients solve the cyber security, privacy and compliance challenges they face. We want to maintain our first among peers reputation as a trusted partner. Our Board is actively involved in helping to shape the direction of the company, and we are and will be engaging at all levels, staff, management board and investor to redefine that path. Our near-term goal simply stated is to return this company to double-digit growth. Our long-term goal is to create greater value for all of our stakeholders, investors, employees and clients. So to reiterate, what I said at the beginning, it's been a very busy four months with a lot of changes and adjustments. But there are many positive signs of a turnaround in the industry. The market and our execution, renewing the vision, and we are excited about the future. As always, please reach out to us, if you have a question or a suggestion, or just want to talk about the business. And for all the veterans out there Happy Veterans Day and for all the marines out there, happy belated birthday. Thank you.
Operator: And so this concludes today's call. We thank you for your participation. You may now disconnect.